Operator: Good morning, and welcome to Wolverine World Wide's First Quarter 2018 Conference Call. All participants will be in a listen-only mode until the question-and-answer session of the conference call. This call is being recorded at the request of Wolverine World Wide. If anyone has any objections, you may disconnect at this time. I would now like to introduce Mr. Chris Hufnagel, Senior Vice President of Strategy for Wolverine World Wide. Mr. Hufnagel, you may proceed.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: Thank you. Good morning, and welcome to our first quarter 2018 conference call. On the call today are Blake Krueger, our Chairman, Chief Executive Officer and President; and Mike Stornant, our Senior Vice President and Chief Financial Officer. Earlier this morning, we announced our financial results for the first quarter of 2018. The release is available on many news sites or it can be viewed from our corporate website at wolverineworldwide.com. If you would prefer to have a copy of the news release sent to you directly, please call Tyler Deur at 616-258-5775. This morning's press release included non-GAAP disclosures and these disclosures were reconciled with attached tables within the body of the release. Comments during today's earnings call will include some additional non-GAAP disclosures. There is a document posted on our corporate website entitled WWW Q1 2018 Conference Call Supplemental Tables that will reconcile these non-GAAP disclosures to GAAP. The document is accessible under the Investor Relations tab at our corporate website, wolverineworldwide.com, by clicking on the Webcast link at the top of the page. Before I turn the call over to Blake to comment on our results, I wanted to provide some additional context and information. As a reminder, for 2018, we'll no longer have a comparative issue with the changes in our quarterly period that was implemented in 2017. The four 13-week quarters in 2018 will be directly comparable to our four 13-week quarters in 2017. When speaking to revenue, Blake and Mike will primarily refer to underlying revenue, which adjusts for the impact of retail store closures, the transition of Stride Rite to a license business model, and the sale of our Sebago brand and Department of Defense business. We believe underlying growth best reflects how our global businesses are performing in the marketplace. Beginning in Q1 2018, we have separately disclosed the impact of changes in foreign currency on revenue to better isolate this variable. In addition, we'll be providing adjusted financial results, which exclude restructuring and impairment costs, non-recurring organizational transformation costs, which includes divestitures and incremental inventory markdowns related to store closures, the impact of foreign exchange, environmental and other costs, and the impact of recent changes in U.S. tax law. You can find tables reconciling these disclosures in our earnings release and on our corporate website. I'd also like to remind you that predictions and projections made during today's conference call regarding Wolverine World Wide and its operations are forward-looking statements under U.S. securities laws. As a result, we must caution you that, as with any prediction or projection, there are a number of factors that could cause results to differ materially. These important risk factors are identified in the company's SEC filings and in our press releases. With that being said, I'd like to turn the call over to Blake Krueger. Blake?
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Chris. Good morning everyone and thanks for joining us. Earlier this morning, we reported first quarter revenue of $534 million, representing underlying growth of 1.8%, and 0.3% on a constant currency basis. We also reported record adjusted diluted earnings per share of $0.50, a 35% increase over last year. These results were better than we expected, and we were especially pleased with the earnings leverage and the strong gross margin and operating margin expansion in the quarter. We were also encouraged to see Sperry deliver growth in Q1 ahead of plan. During the quarter, our WOLVERINE WAY FORWARD transformation entered its next phase as we shifted focus to our new GLOBAL GROWTH AGENDA and made meaningful progress toward becoming a consumer-obsessed growth company. I'm excited to share details on key activations and some early success stories from Q1, but first let me review the quarterly results for our brand groups and key brands. Starting with the Wolverine Outdoor & Lifestyle Group, underlying revenue grew 1% compared to the prior year, down 1.5% in constant currency, with Merrell growing low-single digits, flat on a constant currency basis and Chaco posting low-single digit growth. Cat was down low-single digits and Hush Puppies was down over 10% in the quarter. Merrell's growth was ahead of plan, driven by strong new product launches, higher at-once business and higher first-quality sales, partially offset by a tougher comparison relating to the strong selling of the Moab 2 program in Q1 of 2017, and the acceleration of the Chameleon 7 launch into Q4 of 2017. The quality of revenue for Merrell was very high, with 7 million fewer closeout sales in the current year, over a 5% negative impact to Merrell's quarterly revenue, which helped to drive a 250-basis-point improvement in gross margin for the quarter. The Outdoor Life, Nature's Gym and Work categories were sources of growth for Merrell. New product in the Hike collection performed well, positioning this category for strong growth in 2018. Merrell now attacks global market opportunities across five distinct consumer territories, which reflect the underlying brand work and recent implementation of our new brand growth model. This model is focused on the consumer, with an emphasis on greater speed and a continuous flow of new and innovative product such as the award-winning Thermo Rouge introduction, launching this fall. Merrell was our first brand to adopt the growth model and is now positioned to deliver high-single digit growth in 2018, driven by global momentum in the Hike, Nature's Gym, and Work categories, and an accelerated cadence of new production introductions. Chaco delivered low single-digit growth in the quarter despite challenging spring weather conditions in certain regions of the country. The My Chaco custom program continues to be a source of accelerated growth for the brand, helping to drive growth in Chaco's Q1 e-commerce business over 20%. Chaco also continues to win with expanded women's product offerings along with continued robust growth in Z/Sandal collection. Moving to the Wolverine Boston Group, before we cover the revenue performance for this group, I'll let you know that we formally moved our Wolverine Kids Group into the Boston Group during Q1. Given the significant changes in the Stride Rite business, including licensing of the brand and related store closures in 2017, this was a logical move, and will allow our kids business to fully leverage the Boston campus where they are headquartered. Underlying revenue for the Boston Group increased 0.4%, down 0.7% in constant currency versus the prior year. With Sperry delivering close to 1% growth, Keds up mid-single digits, the Kids Group up double digits, and Saucony down mid-single digits. Sperry has implemented our new brand growth model, which helped to drive better than expected revenue performance in Q1. The brand saw continued strength in women's boots, accelerated growth in the vulcanized category, and very good performance in the women's casual business. Retail sell-throughs were strong in the quarter, illustrating the continued strength of the brand and general market acceptance of new styles and product outside of the boat category. Sperry's e-commerce business also grew at an accelerated pace, up nearly 35% in the quarter, and benefited from new demand creation activities, and more effective social prospecting. We're very pleased with Sperry's start to the year and expect growth to accelerate over the balance of the year, including strong performance from the women's category in the back half. We now believe that the brand will deliver low-single digit growth for the full year. Saucony results were on plan, but were impacted by quality and delivery issues that carried over from 2017. Despite these challenges, Saucony continues to drive meaningful growth in the important EMEA region, which was up over 25% in Q1, around 15% on a constant currency basis. Early reads on the new Ride ISO program have been very positive and the brand has accelerated the launch of some new product introductions to help drive strong global growth in the back half of the year. And closing with the Wolverine Heritage Group, underlying revenue for the Group was up 5.3%, up 5.1% in constant currency, compared to the prior year, with the Wolverine brand up high single digits, Bates up mid-single digits, HYTEST up double digits and Harley-Davidson down mid-teens. As expected, the Wolverine brand returned to growth in the first quarter, on the strength of new product introductions, including the I-90, Ranchero, and Contractor collections. Wolverine apparel also grew 50% in Q1. The brand is performing well in the U.S. work category and continues to take market share in this growing segment. Now, let me provide an update on our activation of our new GLOBAL GROWTH AGENDA. After two years of executing against an aggressive set of transformation and restructuring initiatives, we are beginning to harvest benefits which are, in part, being reinvested behind critical growth opportunities. As a reminder, we expect these incremental investments to range between $40 million and $45 million in 2018. Our brands are poised to take full advantage of the new tools, processes, and capabilities, and we are now a more nimble and agile company as we pivot to growth. While we are still in the early stages, we saw some meaningful wins during the first quarter and I'm pleased with our progress toward becoming a consumer-obsessed growth company. As a reminder, our growth agenda is comprised of three key elements. First, a powerful product innovation and design engine. Our brands will follow a newly designed growth model that relies heavily on consumer insight and a streamlined development process that introduces game-changing product on a more frequent basis. We are investing in new creative and design capabilities, while expanding our consumer insights and market intelligence skills to bring more cravable product to market on a more continuous basis and with much shorter concept-to-market lead times. All brands in the portfolio have now adopted this model and are developing new go-to-market strategies as a result. This new approach allows us to drive more robust consumer-centered product pipelines and address any gaps much earlier in the planning process. We expect to commit about 45% of our incremental investments in 2018 to this element. The second element of our GLOBAL GROWTH AGENDA is our enhanced digital-direct offense. As brand owners in the new normal retail consumer environment, we need to think and operate more like vertical retailers to drive speed, product flow, and consumer centricity, all of which will also accrue to the benefit of our wholesale customers. We plan to continue to over-index our investments toward our digital-direct offense to stay in lockstep with our consumers by creating digital content and powerful stories that can be used across all distribution channels and by most retail customers. These efforts are reflected in our owned eCommerce business, which has been our fastest growing channel over the last two years with nearly 20% growth in 2017, accelerating to over 25% in Q1 of 2018. Approximately 30% of our 2018 incremental investment is planned to be spent on our digital-direct offense. This includes greater social prospecting, new advertising up and down the consumer funnel, and the implementation of our new unified consumer database to increase retention and enhance the lifetime value of our consumers. The third element of our growth agenda is focused on international opportunities. Our well-established international business benefits from a broad network of global partners, most of whom are vertical retailers with direct insight into consumer trends and preferences in their respective markets. Today, our brands enjoy over 15,000 controlled points of distribution around the world. To fuel the global expansion of our brands, we plan to allocate nearly 25% of our 2018 incremental investment spend to support international growth. Specifically, we will add strategic and operational resources to our regional teams, especially in China and the Asia-Pacific region, collaborate with key partners on new global product introductions and store openings, and improve systems to create market-relevant product and better service our global business. Our global network, which covers about 200 countries and territories, is a strategic advantage for us and we expect our international business to be a source of high-single digit revenue growth in 2018. In Q1, the international business grew over 10% on a constant currency basis, including mid-teens growth in Asia-Pacific. This is an incredibly exciting time for the company. We've developed the tools and capabilities to better drive top-line performance in the new normal global retail environment and we expect to see a meaningful improvement in organic growth as we progress through the year. Two years of great effort by our team has put us into the position to invest for the future, drive organic growth, and add new brands to the portfolio. With that, I'll now turn the call over to Mike Stornant, our Senior Vice President and Chief Financial Officer, who will provide additional insight and commentary on our 2018 Q1 financial performance, and further insight into our expectations for 2018. Mike?
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Blake. And thank you all for joining us today. Fiscal 2018 is off to a very good start. We delivered first quarter revenue at the high end of our guidance, and our earnings leverage was excellent, as we exceeded expectations and achieved record earnings per share. Several new growth initiatives were launched in the quarter, and we are now using the new tools and capabilities developed as part of our transformation to drive progress against our plan for this year. The company delivered revenue of $534.1 million, resulting in underlying growth of 1.8%, 0.3% growth on a constant currency basis. Reported revenue declined 9.7% versus the prior year, due to the impact from store closures and the portfolio changes made in 2017. Both Merrell and Sperry delivered revenue and earnings ahead of plan for the quarter, and Sperry delivered its first growth quarter in several quarters. We expect accelerated growth for our two biggest brands over the course of 2018, as our teams continue to implement the key tenets of our new brand growth model. Q1 adjusted diluted earnings per share of $0.50 resulted in 35% growth over the prior year, driven by excellent leverage in the quarter. Gross margin of 42.7% improved 150 basis points compared to last year's adjusted gross margin despite a 26-basis-point negative mix impact from store closures. Adjusted operating margin was a very strong 12% and improved 110 basis points compared to the prior year. The higher than expected Q1 gross margin result was related to certain product cost benefits from WAY FORWARD initiatives, better mix from the strong growth in our eCommerce and international businesses, and lower closeout sales in the quarter compared to the prior year. Most brands in the portfolio saw meaningful gross margin expansion in Q1. Selling, general and administrative expenses of $163.7 million includes approximately $7 million of incremental investments related to growth initiatives and declined $16.5 million compared to 2017, due mostly to last year's store closures. We expect that incremental investment spending will roughly double in the second quarter. The first quarter effective tax rate of 15.1% was relatively low, due to the early resolution of a tax reserve, positive earnings mix, and other discrete items. Despite the low tax rate in Q1, we expect the rate to normalize in Q2, and we still expect our full-year tax rate to be in the range of 18% to 21%. Transitioning to the balance sheet. As we focus on better SKU productivity and drive speed to market initiatives, we continued to see improvement in our inventory position. At the end of Q1, inventories were down $66 million, or 18.5%, with $46 million attributed to store closures, and portfolio changes executed last year. The company remains intently focused on efficiently managing working capital. Since the beginning of the year, we successfully repatriated over $230 million from foreign locations. We used some of this cash to make a discretionary debt principal payment of $100 million and repurchased $45 million of our stock at an average price of $29.56. We also increased our quarterly dividend by 33% during the quarter. After taking these actions, we ended the quarter with $257 million in cash, and a nearly $1.5 billion of capacity to execute future actions intended to drive total shareholder return. Now let me cover our updated outlook for 2018, including further insight on the incremental investment strategy related to our GLOBAL GROWTH AGENDA. We expect fiscal 2018 reported revenue in the range of $2.24 billion to $2.32 billion, unchanged from our original outlook. The current Street revenue estimate for the second quarter is in line with our current projections. Full-year gross margin is now expected to expand by 50 basis points to 90 basis points, up slightly from our original outlook. The expected ongoing improvement in gross margin is a direct result of successful higher-margin product introductions, further supply chain discipline, product cost reductions, and other pricing initiatives implemented as part of the transformation. We remain committed to our incremental investments to drive future growth, which we expect to be in the range of $40 million to $45 million for 2018. Including these investments, adjusted operating margin is now expected in the range of 12% to 12.3% and reported operating margin is expected to be approximately 11.6% to 11.9%, including $8 million to $12 million of cost to manage the company's legacy environmental matter. We now expect 2018 net interest and other expenses of approximately $26 million to $28 million. Our projected effective tax rate remains in the range of 18% to 21%. Full-year fiscal 2018 adjusted diluted earnings per share are now expected in the range of $2.00 to $2.10, an increase of 28% over last year at the high end of this range. Reported diluted earnings per share are expected in the range of $1.92 to $2.02. Foreign currency is expected to have a neutral impact on earnings. Before closing, I want to provide a brief update on the legacy environmental matter that the company has been addressing over the last several months. We continued to work collaboratively with regulators and members of the community, and have made further progress on this matter during the first quarter. We remain committed to supporting our friends, families, and neighbors in the affected areas. The range of cost estimates for future remediation and other related activities are unchanged from our original projections. As a reminder, these estimates do not include any recovery from insurance coverage or other responsible parties. Thanks for your time this morning, and we will now turn the call back over to the operator.
Operator: Thank you. We will now begin the question and answer session. Our first question comes from Jonathan Komp with Robert W. Baird. Please go ahead.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Yeah, hi. Thanks, guys. I want to follow up on the discussion about the top-line trends you're seeing, especially for the largest two brands, Merrell and Sperry. And you clearly sound pretty optimistic, call that expectations for an acceleration the balance of the year. I'm wondering if you could give more line of sight to what you're seeing, either across the order books for those brands or any more color on cross-channel where you see the acceleration, and just kind of trying to get a sense of what's changed to make you feel so confident in the outlook for the acceleration for those two.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, Jonathan, I think – let me take Sperry first. Sperry, as you know, has been a bit of a work in process for us for over a year. What gives us – when we look at the order book, when we look at the Q1 performance, the key word and the key trend here is diversification. So, I would say in Q1 the boat business for Sperry was down around 40% of its total business. Sperry has had a strong double-digit pickup in vulcanized footwear and Top-Sider footwear, casuals, and the great e-commerce growth in Gold Cup. So, the brand itself continues to diversify into other footwear categories, and when we look ahead, frankly its Q1 performance was ahead of our plan this year. We didn't expect any growth in Sperry to come until the back half of the year. And we now are looking at some growth, most likely in Q2 and then an acceleration in the back half of the year, fundamentally though driven by great product and a very, very strong brand. On the Merrell side, again it was kind of flattish, low single-digit growth in Q1. That was really due to the comparison with Moab 2 last year, the fact that retailers pulled the Chameleon 7 into Q4 of 2017, and the fact that we had substantial amount of fewer closeouts in Merrell this year. We feel very positive about Merrell's momentum in the marketplace, again, across most of their five consumer categories. We currently expect very strong performance in Q2 and the rest of the year for Merrell. And that's been building for some time. As you know, Merrell's performance last year built over the full fiscal year.
Michael D. Stornant - Wolverine World Wide, Inc.: I would add, too, to that, Jon. For Sperry, I think Blake mentioned it, but the e-com business in the first quarter was up 35% for Sperry, ahead of plan a little bit, but certainly benefiting from a lot of the new tactics we're deploying across the portfolio on our e-com business, which overall was up 25%, and is on track to deliver the growth expectations we need in that category. But Sperry really benefited from that. And even though boat shoes were down 10% in the quarter year-over-year, as Blake said, we're deemphasizing that category, if you will. The mix of other categories or other products is just strong momentum, and we know too from a great performance in Q4 on Sperry boots last year, the demand for boots in the back half of 2018 for the brand is very strong. Retailers are getting in line for that now, after two really successful seasons in a row. So, I think really strong on the Merrell side, I wouldn't want to underplay the importance of their growth internationally, too. Really strong performance in Europe and continuing to gain momentum in other regions at the same time that the U.S. business is getting a stronger foothold, as well. So really strong performance expected in Q2 for Merrell, as a matter of fact, not just with some of the new products coming in the second half.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Okay, great, and maybe just two quick follow-ups. Blake, I was hoping you might be able to address just your view broadly of the wholesale environment more of kind of across the brands, what you're seeing, and any changes there. And then Mike, just wanted to follow up on the Q2 comment you had. I know you commented on the Street revenue. I don't think you commented on earnings. I want to make sure I didn't miss that. You did call out greater incremental spending. So, I just want to see if you had any comment around the earnings for Q2.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, with respect to wholesale, I think for the entire industry, U.S. wholesale probably remains one of the most challenged geographies. International appears to be holding its own and growing nicely both in EMEA, Asia-Pacific and Latin America for the industry. U.S. brick-and-mortar environment continues to see some traffic fall-off. eCommerce is still growing. We had significant increases, not just in our topline eCommerce results, but when you look at the statistics for the quarter on DTC, on mobile and visits and conversion, and how we outperformed against the FDRA index, it's encouraging. So the consumer clearly in the United States is migrating towards convenience. Last year, about 28% of all footwear sold in America was sold online, and that's just going to keep climbing over time. And frankly, we've addressed that in our transformation initiatives, and some of the tactics we've taken for future.
Michael D. Stornant - Wolverine World Wide, Inc.: Jon, on the second quarter, you're right, we called out revenue kind of in line with where the Street's estimating today. I would say just to make sure it's clear, we had really much better than expected gross margin expansion in the first quarter. We'd expect that year-over-year expansion to be continuing into the future quarters, maybe not quite at the same improvement level as we saw in Q1. More spending on the incremental investments in Q2 than in Q1. We're going to double the level of spend there in Q2 and probably in Q3 also frankly, kind of at that same level. Those will be the two highest quarters where you'll see an impact on SG&A from those activities. Our tax rate, super low in the first quarter and we're going to see that get back up closer to 20% in Q2. So, with all those puts and takes, I think the current estimate for earnings is maybe on the high side, right in line with what we're expecting for the quarter, maybe a little bit higher than what we have projected, given the timing of some of those things I just mentioned.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Okay, that's very helpful. Thank you.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Jon.
Operator: Our next question comes from Jim Duffy with Stifel. Please go ahead.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning, guys.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning, Jim.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Two questions from me. First, I was hoping that you could highlight some of the tactical factors contributing to the success you're seeing in digital.
Blake W. Krueger - Wolverine World Wide, Inc.: I mean as we focus on really a digital-direct offense, fundamentally it's about speed, it's about consumer focus, it's about brand. So, in today's world, you need a more continuous content, continuous storytelling. You need a more and faster pace flow of product, and we have initiatives and have implemented initiatives certainly behind the Merrell and Sperry, behind both of those tactics. And of course, you have to focus on mobile. I think mobile for us in Q1 was up almost 45% and we don't really see that trend – we see that trend changing, so there's many other things we focus on to drive this digital-direct offense, exclusive product, custom product. And the other thing we're seeing, especially in the U.S. market is a need for a strategic distribution plan for each brand. Differentiation, different channels, different product for different retailers. So, we tried to address that for our biggest brands and we're in the process of addressing that for some of our other brands.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah, and, Jim, I would also say that when you tie it back to our investment strategy here, some of the key components of that are maybe stronger or more focused social prospecting efforts. We've made investments in our consumer database and we're leveraging that better. We're making investments and executing on tactics that are driving better retention. So, I think the focal points of our investment strategy have been put into play. We started to test those last year with a couple brands including Merrell. But as we start to roll those out to other brands, we're seeing similar results, and Keds and Sperry were the prime examples in the first quarter where we're starting to see the early wins from some of that extra spend. And some of it's just good old-fashioned demand creation and advertising spend on the right product that's been driving traffic to our sites. Sperry did that with The Wall Street Journal for the first time in a while in the first quarter. Saucony had an amazing collaboration with Dunkin Donuts for the Boston Marathon that drove a significant amount of traffic to our sites and drove up some late-quarter performance there for Saucony that's continued into the second quarter. So, some of those activities are also helping.
Blake W. Krueger - Wolverine World Wide, Inc.: I would also say, Jim, that we're seeing accelerated online growth from our retail customers. So, up and down the chain we see their online businesses increasing at a really a fast pace, so, when we're developing content and continuous product flow and storytelling, it's all accruing to their benefit, as well. .
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: Great to hear. Next question, can you talk a little bit more about the international market momentum you're seeing, particularly I'm interested in hearing more about the current size and state of the Asia-Pacific market and what are some of the factors that give you so much confidence in the growth opportunity there?
Blake W. Krueger - Wolverine World Wide, Inc.: Well, I think, as you know, Jim, we've been very strong in Latin America for decades. I think, when you look at opportunities internationally for our family of brands, Asia-Pacific we would probably rank number one, but also EMEA as well. And I think we've got plenty of room to grow in those key markets. We've got great businesses. We have great partners in most of those markets. But there are some other opportunities. We're going to do Keds directly in China, for example. And we're talking with some other significant partners about some other initiatives that you'll probably hear about in the next couple of months or so. So, we feel positive about those markets. Over the last couple of years, Europe has actually outperformed their macro, what you might anticipate from their macroeconomic numbers. So, at the moment, that remains a very healthy international market for not just our brands, but the entire industry.
James Vincent Duffy - Stifel, Nicolaus & Co., Inc.: I'll leave it at that. Thank you, guys.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Jim.
Operator: Our next question comes from Edward Yruma with KeyBanc Capital Markets. Please go ahead.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Hey, good morning, guys. Two quick ones from me. I guess, first, on gross margin, you guys have done a great job of consolidating the factory base and driving some real sourcing savings. I guess, if you just help us understand kind of what inning you're in in getting some of those cost reductions. And then as a follow-up, it's been a while since you've done an acquisition. Obviously, the business is kind of clicking along. What's your openness to doing acquisitions? Do you see targets? Or are you still focused primarily on organic growth? Thanks.
Michael D. Stornant - Wolverine World Wide, Inc.: I'll take the first point on gross margin, Ed. I would say it's a constant process. So, we've been at this for at least two years, in terms of working through the supply chain improvements, and all of the different initiatives that literally started two years ago around how to make sure we're delivering the best margin possible. I would say there's still more to be had, as we move this forward, initiatives and outcomes that came out of WAY FORWARD transformation work. We have good line of sight too, but they're not completely implemented yet, and/or they're going to affect future seasons for us as we look at spring 2019 and into 2019, we would expect there'd be some more benefits there. So, I would hesitate to give you an exact inning, but I'd say we're very well along the path and I think it's become a very constant kind of component of how we operate now. It's going to be kind of in our process, in our DNA as we go forward.
Blake W. Krueger - Wolverine World Wide, Inc.: And then maybe on the acquisition front, Ed, they remain a high priority for us. As you know historically, acquisitions have helped drive our top line and also our bottom line performance. The team here has a pretty proven skill set when it comes to assessing and integrating brands and keeping them very distinct in our matrix organization. So, we've been very active. We're going to continue to be very active. We're also going to be very strategic. We obviously have plenty of dry powder, but we're going to be focused on some white space areas tied to consumer trends, some higher growth categories and markets, whether the target might have some talent and skill sets that we could use across the portfolio. And I would probably also say we're not limited by a particular channel or footwear, or geography. It could be in apparel. It could be in bags. It could be a brand that's in the United States or not in the United States but has global potential. That's always what we're kind of looking at. As we've said before, we're always interested in brands with a heritage, brands that are authentic, brands that stand for something.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Great. Thanks so much, guys.
Michael D. Stornant - Wolverine World Wide, Inc.: Thank you, Ed.
Operator: Our next question comes from Chris Svezia with Wedbush. Please go ahead.
Christopher Svezia - Wedbush Securities, Inc.: Good morning, everyone. Thanks for taking my questions.
Michael D. Stornant - Wolverine World Wide, Inc.: Hi, Chris.
Christopher Svezia - Wedbush Securities, Inc.: Hi. I guess first just on Saucony, maybe just give an update of where you, what the issue is and when you anticipate this kind of being resolved? And I guess, furthermore, what's the growth expectation for the Saucony brands for the year?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, let me – Chris, let me address that. You know, we had some delivery, some quality issues, and frankly, some fit issues with Saucony in 2017. Some of that hangover has carried on into 2018. Some of that, frankly, was self-inflicted and we've been very aggressive taking actions to address those issues, address the quality issues, the fit issues. It's going to take a couple of quarters for Saucony to post some growth this year. They've got a very robust product pipeline for the rest of this year, they've just introduced the Ride ISO. The feedback on that has been spectacular at this point. They have some accelerated introductions in the back half of the year, so we're still looking this year at probably low-single digit growth for Saucony, and most of that growth is going to come in the second half. We'll spend another quarter or so here coming out of the bowl.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Does most of this affect...
Blake W. Krueger - Wolverine World Wide, Inc.: I would also say – I would also say, Chris, we will probably have an announcement for new leadership on the Saucony brand next week. I'm just not in a position to give you a name today, but you'll see that announcement next week.
Christopher Svezia - Wedbush Securities, Inc.: Okay. All right. Moving on, just when I look at the breakout of revenues, international, DTC and U.S. wholesale, if international grows high-singles, DTC you did 25% – or eCommerce, I think, was 25% in the first quarter.
Michael D. Stornant - Wolverine World Wide, Inc.: Right.
Christopher Svezia - Wedbush Securities, Inc.: Wholesale, I'm just curious, when I look at U.S. wholesale, how do we think about that for the year? In other words, can you maybe just break out the growth between those three buckets: International, DTC, and U.S. wholesale for the year as it pertains to your revenue growth?
Michael D. Stornant - Wolverine World Wide, Inc.: Right. Yeah, I think, we would sort of bundle Canada and U.S. into one North American bucket, but either way, you sort of think about our wholesale business in North America or in the U.S. is going to be low-single digit growth for the full year. International, high-single digit growth, and then eCommerce growth right around the rate that we delivered in the first quarter, mid-20%s. So, if we can deliver and expect to deliver at that level, the good news, I think, for us is the strong start to the year for both eCom and international, which are going to be our biggest growth drivers. And we knew coming into the quarter with Sperry being relatively flat with some of the challenges that Merrell had with respect to timing of Chameleon and Moab and others, that the U.S. business would have a slow start in the first quarter. But frankly, we're certainly on schedule to deliver what we expected there in terms of that mix of distribution.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Thank you. And then just finally just on the gross margin, I'm just curious, as I would assume eCommerce has a very high gross margin relative to the corporate level...
Michael D. Stornant - Wolverine World Wide, Inc.: Yes.
Christopher Svezia - Wedbush Securities, Inc.: -- international does, as well. Those are the fastest pieces. You're doing a lot of work on the supply chain, et cetera. There's more to go. Is there anything we should be mindful of as we go through the year? It seems like there's still opportunity, I guess, probably as you get to that third quarter because it's more of a sell-in, and then Q4 potentially because DTC is a big component? Just maybe a little more color about the gross margin trajectory and why potentially there could be more opportunity there based on the mix.
Michael D. Stornant - Wolverine World Wide, Inc.: I think that's right. It's only the first quarter, right? There's still a lot to be done here for the rest of the year, but when we look at how things are lining up, clean inventories should not be understated here. I think, Merrell in the first quarter missed $7 million of closeout sales compared to the previous year, but frankly, those were sales that didn't deliver a heck of a lot of gross profit. So, the mix of the business, both what you called out, Chris, the eCom business growing, which is at a higher gross margin rate, our international business has a higher operating margin, but not necessarily a higher gross margin, so but that does lend itself a little bit. Clean inventories are important and then just all the work we're doing around product costs and continuing to maintain a clean pipeline of inventory, not only our own, but at retail, which has reduced our exposure to promotions and markdowns at the retail level, too. So, we like the start to the year here. We knew we were going to have some improvement. I think, we planned a little cautiously in the first quarter around gross margins and we raised our guidance a little bit for the balance of the year, but I think overall, we're very happy with where we are there and where we're headed.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Thanks very much and all the best. Appreciate it.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Chris.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Chris.
Operator: Our next question comes from Erinn Murphy with Piper Jaffray. Please go ahead.
Erinn E. Murphy - Piper Jaffray & Co.: Great. Thanks. Good morning. A couple of questions.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning.
Erinn E. Murphy - Piper Jaffray & Co.: I guess going back to the international theme, I think last year you guys started in the process to convert some markets from direct to indirect relationships. Can you just update us, which markets have you made that move? And then I guess, why would you be thinking about Keds as a direct relationship in China? Just curious on the strategy behind that.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, I think addressing the Keds issue first, there's just a great opportunity for Keds in China. You look at – it's vulcanized footwear. You look at it's – where it's priced as a brand, it's just the opportunity with a smaller brand to kind of leverage our on-the-ground China experience. And it doesn't mean we're going to – it doesn't mean with respect to our other brands we don't have great distributors and great businesses in China, but Keds was an opportunity to move down the – to move down the food chain, especially in China. And then when you look at other markets around the world, I'm not sure we've had any significant...
Michael D. Stornant - Wolverine World Wide, Inc.: We had a – I think, what you're talking about or referring to, Erinn, is last year we moved a couple of our brands in the EMEA region from owned wholesale to distributor relationships last year and we haven't made any further changes like that since the middle of the year last year. It wasn't really a significant change in terms of impacting top line or anything like that, but just realizing in certain markets where we just didn't have the scale that – the scope and scale that we needed to run a business, we moved some of those to distributors that we work with, with other brands.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then in your forecast, Mike, you're not assuming any other kind of specific brands or markets kind of flipping the relationship?
Michael D. Stornant - Wolverine World Wide, Inc.: No, not for 2018.
Blake W. Krueger - Wolverine World Wide, Inc.: No.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then just a question, I guess, following up on wholesale. I think you guys talked about it as being low-single digit for the year in North America. Can you just kind of break out what you're seeing from an underlying, let's say, brick-and-mortar wholesale versus how you're seeing kind of the digital pure-play partners underpinning that?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, I mean, as I said, you take our good retail customers, all of their – virtually all of their online businesses are growing at an accelerated pace. And certainly, we're seeing that – the same thing in our own eCommerce business and we still remain, if you read the headlines, probably overstored here in the United States, especially when you consider the shift in consumer behavior and what they want and how convenience now and two-day shipping is becoming just assumed and something you have to do to get on the playing field. So, we don't see that changing any time soon. We – our own brick-and-mortar stores, I mean, if you combine our eCommerce and our brick-and-mortar stores, we had like almost an 18% comp increase in the quarter, but we're down to 80, 82 stores at this point. But our stores also had a very good Q1. The comps were up 2.3%. I think, the FDRA index across 8,500 or 9,000 stores was down 1% in Q1. So, you can still win it, obviously win at brick-and-mortar retail. You need the product, you need the stories, you need the content. But really, in today's world, all of that has to be – operate smoothly across channels, whether it's eCommerce, whether it's mobile, whether it's brick-and-mortar, whether it's your wholesale, retail consumers and customers. You need a consistent and smooth operation and presence of the brand across all of those channels.
Erinn E. Murphy - Piper Jaffray & Co.: That's helpful. I guess I really was referencing kind of the underpinning, I guess you call it wholesale/retail, so not the brick-and-mortar like your physical stores, but actually the physical wholesale partners that you sell into. I mean, if you look at low single, is that plan down? And then the digital piece of their businesses in the digital peer play what's driving the growth? Just trying to understand...
Blake W. Krueger - Wolverine World Wide, Inc.: No, I think it's hard to separate the two for our traditional retailers. Our pure eTail business I think is going to grow at maybe slightly ahead of that rate. But I think we're expecting to see growth in brick-and-mortar and online.
Erinn E. Murphy - Piper Jaffray & Co.: Okay.
Blake W. Krueger - Wolverine World Wide, Inc.: And with our traditional wholesale customers, the traditional brick-and-mortar guy, what Blake is pointing out here is their business is shifting to online too. So maybe some of that growth is coming from their focus on that. But fundamentally we're not seeing a spike in one particular channel and a major decline in others. Don't forget, we spent a couple of years cleaning up the distribution for many of our brands, making sure that we were out of some of the unhealthy stores. We've reset ourselves, I think, with respect to our footprint. And so that low single-digit growth rate is sort of the result of that kind of cleanup.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And just my last question is on Merrell. You talked about kind of a comparison issue in Q1, just given the Moab last year. But, I think, if we look back over the growth rates, it was actually – it was up against a low single-digit comparison last year. So, the easiest of the year. So, I guess, as you look at the product pipeline, kind of how you're thinking about the launch calendar, what gives you the confidence in such a stark acceleration in the two-year stack since comparisons actually get more difficult throughout the year?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, it's just simply a knowledge of what's in the pipeline: The big stories, the big idea, product marketing stories that are coming down the pipeline. For Merrell, I've never seen it this robust. And probably Merrell would be one of our leading brands in that regard, so there'll be a new Moab FST. There will be a new Jungle Moc, a Youngle Moc, (52:33), Thermo Rogue when you look at the hike, lifestyle, and performance categories, Merrell just has a full pipeline. And that was the first brand that we really instituted our growth agenda model for, and our modern global growth model for last year.
Michael D. Stornant - Wolverine World Wide, Inc.: Erinn, we're expecting that to kick in in Q2. So, this is not a wait and see sort of thing, to Blake's point. And I think it's an important reality for Merrell but also an important learning for the business that we can't put one or two big launches out there and cross our fingers. This is about continuous flow of new product, continuous flow of innovation into the market, and not relying on any one or two of those to necessarily have to win at 100% level, but they have the diversification and the cadence and the frequency to see a number of key initiatives of, frankly, for Merrell, global initiatives win over the course of the next three quarters. So, lots of good confidence there. Great reaction from the retail trade and support, in terms of their commitments to these programs. So, it's certainly invigorated the business over the last year, and we're seeing it continue.
Erinn E. Murphy - Piper Jaffray & Co.: Thank you.
Operator: Our next question comes from Laurent Vasilescu with Macquarie. Please go ahead.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Good morning and thanks for taking my question. I wanted to follow up on FX. I think it was an $8 million benefit for the first quarter topline. And I think then, on the back tables in the press release I think it says for the full year guidance it's a $4 million benefit. So maybe, Mike, could you possibly help us reconcile that variance?
Michael D. Stornant - Wolverine World Wide, Inc.: Sure, yeah.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: How much of an FX benefit we should expect for the second quarter?
Michael D. Stornant - Wolverine World Wide, Inc.: Second quarter will be pretty small, maybe a couple of million dollars but in the back half of the year, last year obviously dollar weakened in the back half. So, we're going up against different comparisons. We always knew that Q1 would be sort of the quarter where we would see the most positive benefit from the weaker dollar. So, dollar has already strengthened a bit since then, and the comparisons in the back half are certainly more challenging. One of the realities here is we know the forecast for our currency impact is wrong. We have no way to predict it completely accurately, but just based on the way we're modeling the business right now, we just don't think currency for the full year is going to have much of a big impact.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Very helpful.
Michael D. Stornant - Wolverine World Wide, Inc.: As it relates to revenue, we're talking specifically about revenue and the translation of revenue. And we've said the same on product costs and EPS for the full year as well. We'll start to cycle through in early 2019, maybe a little bit in the fourth quarter, cycle through better currency contracts on our product purchases and product costs. So, we could start to see some benefit on the earnings side, and on the margin side as we flip into the early part of 2019, but for the full year, we don't see currency having an impact on either revenue or our earnings.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay, very helpful. And then I think the initial guidance called for cash from operations of $230 million to $250 million for the year. Can you provide any updated thoughts on this guidance and the cadence between the first and second half of the year?
Michael D. Stornant - Wolverine World Wide, Inc.: Similar guidance for the year. We don't really break it down by quarter or half. So, it's tracking as expected.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay, great. And then on gross margins, can you possibly parse out maybe in terms of bps the effects of FX, low product costs, and markdowns for the first quarter? And then any further color on the second quarter gross margin, like what will drive that going forward?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. Very small impact from currency as I mentioned already. We don't really break it down into those components, other than to say, I think they were all meaningful contributors. The items that I mentioned in my comments, product cost reductions, better, cleaner inventory, lower closeout, mix, those are all drivers. And I think it is important to see, as the company pivots towards our eCommerce channel, our own eCommerce business that carries a higher gross margin that's going to help drive gross margins up in the future, as that becomes a bigger part of the business. Q2 will have some of the similar benefits. We won't get the same upside or benefit from lower closeouts in Q2. Q1 is typically a higher closeout quarter, so we may not see the same mix benefit from that in the second quarter, but otherwise, all the other factors are in place.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay, great. And then lastly, I wanted to follow up on the voluntary pay down of $100 million in long-term debt. Ultimately what kind of level of debt do you want on the balance sheet? And I think you recently repatriated some cash. Can you remind us how much of the $257 million in cash is now abroad?
Michael D. Stornant - Wolverine World Wide, Inc.: Well, on the debt question, we like exactly where we are right now. Our leverage ratio is in a very good place. We continue to look at all options as we think about capital deployment. We've got plenty of cash on the balance sheet, lots of capacity as we mentioned in our prepared remarks. I think about two-thirds of our cash is now in the U.S., and about a third of it is offshore, which has kind of flipped from where we've been in the past, given the flexibility to repatriate that cash back into the United States, and we still have operations in Europe, in Asia Pac, and need cash in those locations to operate those businesses, but we obviously have access to that cash when and if we need it.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Great. Thank you very much and best of luck.
Operator: Our next question comes from Dana Telsey with Telsey Advisory Group. Please go ahead.
Dana Lauren Telsey - Telsey Advisory Group LLC: Good morning, everyone.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning.
Dana Lauren Telsey - Telsey Advisory Group LLC: Hi. Can you talk a little bit about, as you think about the cadence for the year and obviously the solid performance in this first quarter, are there any puts and takes that we should be mindful of as you go through Q2 through Q4? And then lastly, where are you in terms of the innings of cleaning up inventory distribution? Thank you.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, I think, I'll take your last question first. Inventories at retail are very clean. I think, when you look at our portfolio of brands, the weather may have had a negative impact a little bit in Q1 on Chaco and the sandal category in general here in the United States. On the other hand, I think we're sold out to the pair in Sperry Saltwater boots, so frankly, Sperry had a pretty good performance in Q1 in the boot category. As you know, our inventories are also very, very clean, and we're down another $20 million even when you exclude the store closures that we executed in 2017.
Michael D. Stornant - Wolverine World Wide, Inc.: Dana, I think on the puts and takes into the balance of the year, as far as the P&L is concerned, again we would expect accelerated growth in the back half of the year for a lot of the reasons we talked about, specifically around Merrell and Sperry. But also, with some of our other brands, strengthening their product offerings and filling the pipeline in Q3 and Q4. As far as the margin performance, Q1's probably going to be, as it related to kind of maybe last year and the overall improvement in gross margin, I think Q1's probably going to be the strongest quarter from that standpoint. But we're going to continue to see strong gross margin expansion every quarter. We're going to spend, or activate, I should say, the investment spending in Q2 and Q3 at a higher rate than we did in Q1, or in Q4. So, you'll see a little spike there, as we would have expected, to get those key initiatives in place. And then we talked a little bit about the detach rate certainly being relatively low, unexpectedly low in Q1. That will be up closer to the higher end of our range for the balance of the year.
Dana Lauren Telsey - Telsey Advisory Group LLC: Thank you.
Operator: We have time for one more question. The last question comes from Mitch Kummetz with Pivotal Research. Please go ahead.
Mitch Kummetz - Pivotal Research Group LLC: Yeah, thanks for taking my questions. I guess, I just have two, and this is really kind of a follow-up, Blake, to what you just talked about on Chaco and Sperry. So, first on Chaco, I know the weather was bad. I guess, I'm surprised that Chaco still wasn't stronger. I would have guessed that Q1 would have been more about the sell-in on Chaco's Spring order book, so, could you sort of kind of help reconcile that for me? I mean, were reorders just weak? Did you have cancellations? Was DTC light because of the weather? And the slow start to the sandal season, how does that sort of impact your thinking on Chaco in Q2, given that that's probably a bigger reorder quarter? And then I've got a follow-up.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, I would right now, only because I can see green grass here in Michigan finally, I would think the reorder business is going to pick up for Chaco in Q2. Q1 was certainly impacted by the weather. You have to remember that Chaco has a big chunk of its business with specialty retailers and a high percentage of their overall business is not only with My Chaco's customer, our own commerce business, but it's with specialty retailers that historically have a pretty high percentage of at-once fill-in orders. So, weather certainly had a bit of an impact on Chaco. Still one of our best brands, not one of our largest brands, but from a brand-positioning standpoint and a profit standpoint, one of our best brands. I haven't really looked at the order book here in a few days on Chaco, so, I can't be any more specific on Q2.
Mitch Kummetz - Pivotal Research Group LLC: Okay.
Blake W. Krueger - Wolverine World Wide, Inc.: But we would expect reorder activity to pick up here now that we're finally getting some decent weather in.
Mitch Kummetz - Pivotal Research Group LLC: Got it.
Michael D. Stornant - Wolverine World Wide, Inc.: The other thing, Mitch, too, you'd asked about the eCom performance for Chaco in the quarter. It was very strong. Their My Chaco business continues to be very popular and a hot driver of growth for that dot com business, and that's going to be an area that they'll put more focus on as we cycle through the year. But it's a good – I think it continues to be a good indicator of how strong the brand is in the market, consumer response to the newness that's being offered by the brand, too.
Mitch Kummetz - Pivotal Research Group LLC: Okay. And then on Sperry, I know the brand was up a little bit in the quarter, which is encouraging. But, Blake, you mentioned that sort of saltwater boots were sold out to the pair. Is there any way to kind of parse out the Sperry performance in terms of kind of core Spring performance versus what was probably a really good boot quarter for Sperry, kind of a follow through from kind of Q4? Is there any way to sort of think about it that way?
Blake W. Krueger - Wolverine World Wide, Inc.: Not really in any material sense. I think the consumer and retail customer reaction to the new Sperry categories, the new product offerings, has been very strong, so Sperry saw a big uptick in its casual business, a big uptick online in Gold Cup. Boat was down, as Mike indicated, about 10%. Vulcanize was up over 30%. So, the brand is seeing success, and like Merrell, is focused on a more continuous flow of product to the market, exciting the consumer at a greater pace versus what it may have done from a historic perspective.
Michael D. Stornant - Wolverine World Wide, Inc.: I think, Mitch, I think, too, when we think about the retail sell-through in the first quarter of boots, that's where we saw a lot of cleanup, so they didn't have a lot of left-over and didn't have to promote a lot of that product to get rid of it. We had some that we sold in the first quarter, but it wasn't a significant part of our sell-in in Q1. I think the key was, great performance in the core season, helpful that they'd worked through all their inventories at retail and cleaned it up at the beginning of Q1. But the support and demand for that product and some of the newness that's coming into that category for Sperry is very strong. But we probably didn't emphasize how strong the vulc business is right now for Sperry too. And I think that's really probably as important as we're starting to see a good mix between boat, the boot category and then vulcanized as a third strong category for the brand.
Mitch Kummetz - Pivotal Research Group LLC: Got it.
Michael D. Stornant - Wolverine World Wide, Inc.: So good diversification, and the mix isn't perfectly where we want it yet, but the trends there are headed in the right direction.
Mitch Kummetz - Pivotal Research Group LLC: Okay, great. All right, thanks. Good luck.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Mitch.
Operator: The question and answer session has now ended. I would now like to turn the call over to Mr. Chris Hufnagel. Mr. Hufnagel you may proceed.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: On behalf of Wolverine World Wide, I'd like to thank you for joining us today. As a reminder, our conference call replay is available on our website at wolverineworldwide.com. The replay will be available until June 8, 2018. Thank you, and good day.
Operator: The conference has now concluded. Thank you for joining today's presentation. You may now disconnect.